Operator: Good afternoon, and thank you for standing by. Welcome to the Sonus Networks, first quarter 2010 financial results conference call. I would like to remind everyone that today’s call is being recorded and all participants are currently in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) At this time I would like to turn the conference over to Mr. Fran Murphy, Vice President of Finance at Sonus for opening remarks and introductions. Please go ahead Mr. Murphy. 
Fran Murphy: Thank you, Shannon, and good afternoon everyone. Welcome to Sonus Networks first quarter results conference call. Thank you for joining us today. With me on the call this afternoon are Richard Nottenburg, our President and Chief Executive Officer; and Wayne Pastore, our Chief Financial Officer, who will both address you shortly. Also with us is Guru Pai, our Executive Vice President and Chief Operating Officer. Guru will be available to answer your questions when our prepared comments have concluded. Before we get started, I would like to remind you that during this call we will make projections or forward-looking statements regarding items such as future market opportunities, and the company’s financial performance. These remarks about Sonus Networks’ future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These projections or statements are neither promises nor guarantees, and instead are predications based on managements current beliefs and involve various risks and uncertainties, such that actual events or financial results may differ materially from those we have forecasted. As a result we can make no assurances that any projections of future events or financial performance will be achieved. For a discussion of the important risk factors that could cause actual events or financial results to vary from these forward looking statements, please refer to the Risk Factors section of our most recently filed report on form 10-Q, which was filed today with the SEC. Any forward-looking statements represent our views only as of today, and should not be relied upon as representing our views as of any subsequent date. While we may elect to update or revise forward-looking statements at some point, we specifically disclaim any obligation to do so unless required by law. And finally, please note that during our call we will be referring to certain GAAP and non-GAAP financial measures within the meaning of SEC regulation. A reconciliation of the non-GAAP to comparable GAAP financial measures, along with our earnings press release is available in the Investor Relations section of our website at www.sonusnet.com under the heading Financial Documents and sub heading First Quarter 2010 reconciliation of non-GAAP and GAAP financial information. A recording of this telephone call will be available until May 18, 2010. The instructions for accessing this recording and a replay of the webcast will be available on the Sonus Networks Investor Relations website. Please visit www.sonusnet.com, About Us, Investor Relations for details. I would now like to turn the call over to our Chief Executive Officer, Richard Nottenburg. Please go ahead, Rich.
Richard Nottenburg: Thank you. Good afternoon everyone, and thank you for joining us on the call today. Before I turn to our results, I would like to formally congratulate Wayne Pastore on his appointment as Chief Financial Officer, which we announced yesterday morning. As you know Wayne had been serving as our Interim CFO since February, and has been Vice President of Finance, Corporate Controller and Chief Accounting Officer since May 2008. No one is better suited to serve as Sonus’s CFO other that Wayne, and the Board of Directors and I have the utmost confidence with his ability to serve in this role. Please join me in congratulating him. With that, now let me turn to our results. We are pleased to report strong first quarter results, which reflect the successful execution of our strategic plan. Our revenues were up over 50% year-over-year, and we were profitable on a non-GAAP basis To quickly recap the numbers; revenue for Q1 2010 was $62.4 million, up from $41 million in Q1 2009. The first quarter also marked our fourth consecutive profitable quarter on a non-GAAP basis, and we continue to improve to improve our competitive position by investing in innovation and our product role map while expanding our customer base. During the quarter we continue to see positive momentum in our NBS and GSX products. We added six new revenue generating customers during the quarter, and new customers accounted for 19% of our revenue. These customers include KBH, Dix, NexGen and inContact. In addition, we made excellent progress with our customer centric link, as they successfully rolled out their voice over IP network. We also continue to selectively expand our global footprint and booked our first business in the Middle East with our new customer Gateway Gulf. For our NBS-9000, we continue to see strong order activity. Customers are choosing NBS-9000 for applications requiring scale, media transporting and secure management of encrypted traffic, without compromising throughput or quality of service, and as we continue to invest in our hybrid trunking and session border control solutions, we believe we are expanding our addressable market. We have made significant enhancements to the NBS-9000. These enhancements should bring more value to new and existing carrier and enterprise customers who require both TBM and IP capabilities on the same platform. We also announced enhancements to our ASX, voice over IP platform, which we believe will triple its affective capacity, increase geographic resiliency, and extensive port for the next generation voice over broadband cable and 4G/WiMAX networks, as well as traditional wire line deployments. Our continued investments in the ASX platform extends our competitive advantage and reflects our long-term commitment to the subscribers services market. From an industry perspective, while some customers continue to differ capital expenditures by postponing the upgrade of Legacy Wire-line access, we are continuing to see the environment stabilize in many markets and geographies. Looking ahead, we expect to gain traction with new customers by leveraging both new and existing products. We spent some time last quarter discussing with you our next generation IP and IP communications platform, which will serve as a foundation for our new products and solutions. This next generation platform will integrate cost control, service logic, packet processing and security into a single cost effective network element. Our product development is on course, and we eagerly look forward to announcing the launch of our first product on this platform in the near future. I want to thank our engineering team for their outstanding work in the development of our newest product. We remain committed to reestablishing Sonus as a category leadership by focusing on three areas. First, we will create products that lead the industry for IP and IP session management. Second, we will adapt new solutions to ensure service continuity across 2G, 3G and 4G broadband wireless networks. Third, we will leverage our new platform to deliver solutions that allow the policy base controls of IT services. In conclusion, we are pleased with the progress we’ve made to-date. Our goal remains to lead the industry in the growing IP and IP communications space, by providing the high demand solutions that our customers need to succeed in the increasingly competitive telecommunications market. As we look to leverage our new platform, we also remain focused on continuing to extend our leadership, and our core product and service offerings. We are confident that through the successful execution of this strategy, Sonus will be well positioned to rank profitably on success. I will now turn the call over to Wayne to review our financial results in detail.
Wayne Pastore: Thank you Rich, and good afternoon everyone. As Rich said, we are pleased with the results this quarter and the progress made to date. Our focus on innovation, efficiency and productivity at every level is underscored by the solid financial performance we reported today. This afternoon I’ll review our financial results for Q1 and then discuss our financial guidance for the remainder of 2010. Please note that our financial results can vary significantly from quarter-to-quarter. So as always we encourage you to evaluate us on a longer-term basis. Now let me recap the results. Revenue for the first quarter was $62.4 million, down from $68.7 million in Q4 2009, but up 52% from $41 million in 2009. Our overall book-to-bill in the quarter was below one, and our product-only book-to-bill was also less than one, reflecting the inherent seasonality of our business. There were two customers that contributed greater than 10% of total revenue in the first quarter. They were AT&T and KBDI. Our top five customers represented approximately 49% of revenue in this quarter, down from 58% in Q4, but up from 42% in Q1 of last year. We reported revenue from 92 customers in the first quarter, including six new customers who contributed nearly $12 million in revenue this quarter. This compared to 87 customers in the fourth quarter and 82 customers in Q1 2009. We continue to penetrate new markets and extend our leadership position with new customer wins and expanding our offerings and footprint to existing customers. Looking at revenue geographically, domestic revenue accounted for 58% of revenue in Q1 versus 65% in Q4 and 71% in Q1 2009. Please note that the timing of deployment schedules and the completion of longer term projects will affect the geographic mix quarter-to-quarter. Before I go into further details, I like to point out that the following are non-GAAP numbers that excludes stock based compensation and amortization of intangible assets in both 2010 and 2009, as well as restructuring charges in 2009. Non-GAAP gross margin for the first quarter was 62% of revenue, compared to 67% in Q4 and 58% in Q1 2009. Funded gross margin for the first quarter was 66% compared to 75% in Q4, and 70% in the same period last year. As a reminder, I’d like to point out that the unusually gross margin in Q4 was a result of the completion and revenue recognition of a single large project. Excluding the margin contribution from the project, the overall gross margin for Q4 would have been approximately 60%. Service gross margins for the first quarter were 56%, compared to 49% in Q4, and 48% in Q1 of last year. Strong service margins this quarter were driven by an increase in activity and timing of customer deployments. Total operating expense for the first quarter was $36.6 million, which was up from $35.3 million in the fourth quarter and roughly flat with $36.5 million in Q1 2009. Looking at our headcount, we ended the quarter with 868 employees to be at 870 employees at the end of Q4. Now onto some balance sheet highlights. We ended the first quarter with total cash, cash equivalents, marketable securities and long term investments of $413 million. Our cash balance remained relatively flat from last quarter, as we generated approximately $3.3 million of cash from operating activities, which helped to offset cash outlays for capital expenditure and intellectual property. We invested $1.8 million in capital expenditures for the quarter. Of that amount over 50% was directly related to investments and our products. In addition we acquired certain rights intellectual property, which we are using to accelerate our product development efforts. We paid $2 million in cash for these assets and we expect to amortize the costs and this intellectual property over the next five years. Total deferred revenue is $84 million, down from a $100 million in Q4 and down from $92 million in Q1 of last year. AT&T differed revenue was $27 in Q1, down from $31 million in Q4 and $29 million in Q1 2009. Now looking forward; we are reaffirming our full year guidance as provided on last quarters call. We continue to expect to achieve flat to low single digit percent revenue growth for 2010. We continue to see opportunity to grow our NBS product faster than the market. Our 2010 gross margin is expected to be within our longer term target range of 58% to 62% which reconfirmed today. Total operating expenses are expected to be in the rate of a $142 million to $146 million for the year. For the second quarter we expect operating expenses to range between $36 million and $38 million. Although we expect total operating expenses to be relative flat with prior quarters, we do believe our overall spending will increase in activates relating to our products investments. These increases are expected to be funded by the efficiencies we have created in our daily operating and overhead activates thought the business. We expect second quarter ending cash and investments not to drop below $405 million, and as we said in the last quarter, we expect our cash investments not to drop below $390 million for any quarter of 2010. We expect to spend between $3 million and $5 million on capital expenditures in Q2 as we continue to invest in new product initiatives. Basic share count for Q2 should be approximately 275 million shares. I closing, we have a strong start to 2010, and Q1 marked our fourth consecutive quarter of profitability on a non-GAAP bases. Our strategy and priorities remain unchained. We are focused on innovations through the development of new products, while continuing to invest in our co-offerings to recapture our heritage or technology leadership. With that let me turn it back to Fran.
Fran Murphy: Thank you Richard ad Wayne. Shannon would you please provide our callers with the instructions on how to ask the question?
Operator: (Operator Instructions) Your first question comes from George Notter – Jefferies.
George Notter – Jefferies: The book-to-bill ratio being down in Q1, you mentioned that’s typically seasonal softness in Q1, can you talk about what the book-to-bill ratio has been in Q1 quarters and past years?
Wayne Pastore : This is Wayne. Q1 ’09, the book-to-bill was also below one, and in Q1 2008 it was also below one. So it has been consistently below one in the past couple years.
George Notter – Jefferies: Then I wanted to ask you about the Century Link deal also. Just reading the press release it seems like it’s a fairly substantial role. Is that a piece of business that you recognize for revenue this quarter or is that something that you would recognize in future quarters and if you could give us any sense of how big that could be, that would be interesting, thanks.
Wayne Pastore: Essentially we recognize in Q3 of last year. 
George Notter – Jefferies: Got it, okay great, and is that something you seen an ongoing find rate or is it done now?
Wayne Pastore: I’m sorry, I didn’t hear the first part of the question was.
George Notter – Jefferies: I guess I was just wondering if there was ongoing stream of revenue recognition there or is the network built out and now you just have a new entity in a sense of growth.
Guru Pai: We expect our relationship to with Century Link to be fairly substantial George. This is Guru, hello again, and yes, what we scored as revenue was a completion of one project. We don’t expect that to be the last such project with Century Link.
Operator: Your next question comes from the line of Subhu Subrahmanyan - Sanders & Morris.
Subhu Subrahmanyan - Sanders & Morris: I have two questions. First on the revenue guidance, you are reaffirming the flat to up slightly for the year and given where the first quarter came in at, can you just kind of talk about the trajectory and the inherent lumpiness in the revenues, because it would imply revenue levels for the rest of the year being flat to down for the first quarter. Then the second question was on the NBS. You mentioned last year about kind of a four-year revenue contribution and if you could talk about how that work percentage of revenues was striking to in the first quarter.
Guru Pai: I think on the first part of your question, I think that we are not giving guidance on the next quarter or the quarter after that. We did give guidance for the year and we basically reaffirm that guidance, for taking a rather conservative approach here, we are being prudent. I believe that we have got a very good opportunity funnel. What we said in the last call was that there’s obviously some deals that if they happened in the second half of the year, we’ll be able to come back out to you mid year and talk about it. We’re feeling a lot better about the business than we did a year ago, and we feel a lot better about the business that we did in the beginning of the year. At the same time we are just taking a pretty conservative approach in terms of our guidance. 
Subhu Subrahmanyan - Sanders & Morris: It’s like it’s all up on that. I’m just wondering if you think that this quarter was representative of trends or impacted by lumpiness, but December had clearly kind of a lumpy revenue recognition.
Guru Pai: I think the important thing about the quarter was, you look at the quarter, it was really exciting, but this quarter with the number of revenue generating customers in the quarter, nearly 19% of revenue. That does bode well, probably has a good chance of boarding well for the future, we start to diversify the business. There are just a lot of positive trends in the business that we see right now, you never less that. We are speaking with the guidance you gave, mainly because the backend of the year, we don’t have great visibility right now in the back end of the year, but we feel strong about the business than we did a year ago. We feel strong about the business than we did at the beginning of the year. As far as the NBS is concerned, Guru can comment about the number of RFPs fees and how we are engaged around the NBS. We’d have got a lot of new features, with lots of enhancements. We are seeing a lot of traction around that product, and obviously we have got a new platform to talk about later on in the years, but guru you want to make some comment there.
Wayne Pastore:
 :
Subhu Subrahmanyan - Sanders & Morris: You care to comment on percentage of revenue?
Wayne Pastore: Not at this time again. Like we’ve explained, we don’t want to give you quarterly guidance at this point on NBS revenues. We feel more comfortable talking about it on an annual basis, and that again has just given sort of 97%, a revenue recognition which is associated with it. We don’t want to give you either false positive or false negatives by giving you quarterly guidance.
Operator: Thank you. Our next question comes from the line of Catharine Trebnick - AVN.
Catharine Trebnick - AVN: My question has to do with market segment focus. I’m a little bit confused and maybe you could correct me of course. I understood after the first earnings call that perhaps you were going to market, the NBS through the carriers and not directly through the enterprise, is that changed? And could you discuss your other market segment focuses with the new plat form, thank you.
Guru Pai:
 : By the way, that’s exactly where we were last quarter, so nothing has changed either via strategy and our market segments that we intend to pursue there. We have also said that we won’t change inherently our marketing model and sales and marketing footprint stays consistent within sort of the guidance that we have given to you. We are not changing that model to pursue any, the enterprise segment for example.
 : By the way, that’s exactly where we were last quarter, so nothing has changed either via strategy and our market segments that we intend to pursue there. We have also said that we won’t change inherently our marketing model and sales and marketing footprint stays consistent within sort of the guidance that we have given to you. We are not changing that model to pursue any, the enterprise segment for example.
Catharine Trebnick - AVN: Then I was wondering if I needed to change around my marketing revenue numbers in the expense item, but now how about the second question on the addressable market for the IP to IP platform where you are looking as far as say cost.
Guru Pai: I think again, we expect the IP to IP platform to be able to provide us solutions in both the carrier and the enterprise phase and in both the direct and indirect model.
Catharine Trebnick - AVN: The target market is more wireless or does it enterprise, because we just did discuss the fact that part of the product features would be 2G to 3G. So I’m assuming that obviously you are looking at service transformations within the wireless network.
Guru Pai: Absolutely, but I think to answer your question, it’ll have that value but its a platform and it allows us to write software and applications that allows us to get that platform into a user platform, the product size in ways that we can actually provide products from multiple segments.
Operator: Our next question comes from Todd Koffman - Raymond James.
Todd Koffman - Raymond James: Can I just get a clarification on George Notter’s question. With regard to the Century Link business on the press release that you put out, did you say that you already recognized revenue on that deployment last year and can you give any more color on that situation that you are calling out now?
Guru Pai: Let me go and then Wayne, why don’t you go on and talk about the revenue recognition piece.
Wayne Pastore: Yes Todd, the revenue was recognized in Q4. The quarter was booked in a previous quarter in ’09, but the revenue was finally recognized in Q4 of last year.
Guru Pai: Then the only difference was in the last call we did not name the customer specifically. We did mention that it was a Tear 1 local exchange guided. 
Todd Koffman - Raymond James: Is there any subsequent business opportunity relating to this deployment with Century Link or for the time being that’s done?
Guru Pai: Like I said earlier, we do expect there’d be follow on subsequent from our initial network deployment.
Wayne Pastore: I mean, if you think of it this way Rich, we’ve displaced an incumbent carrier in the network and clearly there’s obviously opportunities going forward, but we are not in a position right now to disclose the magnitude of business. We are very excited by the opportunity. We think its a really good opportunity for us given the size of the four quarters in North America and I think it bode well for us so that we can continue to win business and take out incumbents. I mean we have a very strong product portfolio that enables us to replace legacy gear on a continuing basis as people continue to upgrade networks, and this is what Sonus has done well for a long period of time. We talked about it in an earlier call that in an environment where CapEx, and the up CapEx OpEx trade off is limited by the fact that the ROI is impaired by the economic conditions in the macro view. The reality is the market is improving right now, so we expect as the overall back drop improves, as carriers replace more of the legacy gear that we’ll be a net beneficiary with that type of movement, not just with this customer, but with other customers also in general. Its just that we don’t have the visibility to be able to predict when that software may kick in here.
Todd Koffman - Raymond James: Can I just ask one follow-up quick question on that?
Wayne Pastore: Sure.
Todd Koffman - Raymond James: Why are you now talking about that specific customer; five months after you finished deployment. Did the customer not want to publicly acknowledge they were using your gear during the actual deployment in revenue recognition period?
Wayne Pastore: I think what happens is, a lot of our customers buy. The customer cycle varies by customer, a lot of customers are obviously wanting to run large traffic on the network, and certain proof points have to be achieved. As you know we had a lot of customers, new customers last year, we are not able to name all those customers, and over the coming months, you will see many of the customers that we talked about winning business with last year, some of them obviously quite significant given the magnitude of the revenue has been recognized. I think its just the nature of how we do business. A lot of customers do not want to publicly disclose things until they realize probably there are really big deployments, they are very complex and I think this is how our business is. I mean, especially when you have to do maybe some custom work, and may be some things are required to complete a particular feature, this is normal. I mean I wouldn’t interpret it in any other way. This is the basic business as usual here.
Operator: (Operators Instructions) Your next question comes from Rich Valera - Needham & Co.
Rich Valera - Needham & Co: Back on the Century Link deal, could you describe the competitive process there? Was there a full-blown RSP, and can you shed any light on what won you the business there relative to the competition and the incumbent you talked about.
Wayne Pastore: We are not allowed and we are permitted to discuss the RP process and the competitive landscape. What I can say is that almost every deal we are in is extremely competitive and what we continue to demonstrate here is that our four products, our hydro trunking products or NBS is extremely competitive in the market. We continue to differentiate ourselves. These are not slammed on deals, these are all hard fought deals, but we feel we are very competitive in these bids out there, and I’m very excited by the fact that we can go out there and we can win a very significant piece of the business from both large customers and from small customers. So I think that this is another thing that boards well for what we are doing here.
Rich Valera - Needham & Co: Can you give any color in terms of what are the metrics that make you very competitive and generally enable you to win?
Wayne Pastore: Let me let guru speak of some of the differentiated features with respect to the products.
Guru Pai: Well, I think the first one is if you look at very complex networks that carry a lot of traffic, I think we are definitely the market leader there. So when you start looking at networks where we are actually migrating a lot of traffic from existing facilities, that customers is trying to have a lot more confidence on our equipment having done this for a long time, as well as our technical solution, and how we differentiate our products in the market place. In addition to that, I think from a roadmap and where they see us going as a company, they know that a lot of the assets that they deploy there is not just for TDMIP, but its also for IP to IP, which is one sense our NBS solution, and that they can actually manage these networks, both TDM to IP traffic and IP to IP traffic in one sort of homogenous unified way. So that coupled with the fact that again from our professional services teams we’ve had the experience of not only deploying those networks very quickly, but also being able to support the customer in running and managing and operating those networks as they sort of go through various stages of deployment. So I think you got to look at all these elements and why customers choose vendors in the long run and we certainly like our position there.
Richard Nottenburg: I think the other thing that is very important, just to add is the scale. I think one of the things that we do extremely well here is we built really large networks, big scale networks. If you look at the things we’ve done at obviously AT&T, KDDI. I think when customers start to look at reference accounts, look at proof points what we’ve done, there are very few of our competitors that can really demonstrate, they can build these types of scale of voice networks and handle the complexity, whether its transcoding our NBS or lot of our very complex solutions, and then as Guru said our ability to service and also help customers especially save money from an operating prospective over time, we are just extremely competitive in that space. I mean look at what we have done in terms of ripping DMX gear, and other types of gear and especially class IV, we’ve done that really well. So this is just a continuation of what we do, and I think the road map is very, very powerful here in terms of a go-forward basis.
Rich Valera - Needham & Co: That’s helpful clarification. On a related note, you’ve had some nice success with the NBS product as you talked about last year. Can you describe again why you win in your NBS engagements? Is that related to your sort of deployment within your entire product portfolio or what differentiates you win that NBS business.
Richard Nottenburg: I will let Guru take that question.
Guru Pai: Like I said, if you keep all the standard telecom things as scale, reliability, false tolerance and so on. I thing above and beyond that, I think what’s becoming more and more important is this notion of transcoding and media inter-working and networks in the same platform. What I mean by that is, when people start looking at IP to IP networks an important element of IP to IP networking is the fact that you actually have to serve bulk orders on both sides of the call and you need to make sure that the [Inaudible] accurately complete the call. That’s an inherent strength for us compared to anyone else in the market place and when large deployments are required we kind of come out ahead.
Richard Nottenburg: And I think what bowls well for us is that if you go look in the future, the number of networks that require, this type of complex transcoding is only going to increase and I think that’s something that one needs to bear in mind that essentially overtime more networks require more processing of the data and this is especially true as more calls originate and terminate on wireless networks. So we feel that intellectual property we have here which we essentially now realize NBS 9000 and though even intellectual property on our new platform on our IP communication platform, we see that bowls well for us down the road and makes it confided that we’ve got a really strong breaths of products here that can address future requirements for both our enterprise and obviously for our carrier customers. 
Guru Pai: And one thing that I want to wanted to make sure that we added in here is our PSX, our policy and routing switch is probably the best in class around. So we can give most of customers sort of a unified way of looking at both TDM to IP, and IP to IP traffic another big differentiator for us in the market place. It’s been there in the ground for a while and customers feel very, very comfortable as they start making those migrations that they actually have a trusted platform.
Operator: Your final question comes from George Notter - Jefferies.
George Notter – Jefferies: Hi guys, thanks for letting me follow up here. I wanted to ask about the IP to IP product that you are developing. Can you update us on where that is in the development process? Have you shown the product to customers? Do you have it in trails and when will it be generally available?
Guru Pai: I think the most that I’m prepared to say about it right now is that we are on track, we told you that we should have the product out in the near future and for competitive reason I think that’s all we want to comment about it at this time. What I do want to say however is, on the general design philosophy behind it is that we will add materially higher amounts of call processing, the ability to do media inter working, the ability to do lot of packet processing. We will give our customers the ability, lot more deployment options in the future.
Richard Nottenburg: I think you will see a lot, obviously coming out of the company over the next couple of quarters as we described in the last call. I think what’s important is to emphasize that we’ve identified a need in the market that exists and we’ve also identified that the requirements are not being met by the market. We developed new platforms, we talk a lot about it. Obviously we talked about what that first substantiation in that part of your platform is going to be. So obviously I this session board of controllers basically discus of [Inaudible]. We also describe the fact that as time goes on we just see that platform at Sonus as being the platform that enables us to address a much larger and a much broader market opportunity beyond the SBC space. We expect that space to change over the next couple of years and so we put a lot of resources in developing a platform which is highly differentiated. It enables us to highly differentiate ourselves in the market place and will give you lot more which is positive about over the next couple of quarters.
George Notter – Jefferies: Got it, and the just a quick follow up to that. How should I think about your relationship between this platform and the existing NBS that you are running on the GSX gateways? Is it fair to say this would cannibalize some of that revenue stream or would it not; how do you look at that?
Guru Pai: And I think that perfectly compliments the products. We made another product announcement on the NBS 9000, which is the NBS running on existing GSX hardware, and we are going to continue our investment in that product and it’s again materially differentiated in the marketplace, primarily around hybrid trunking, and we see our new platform is being perfectly complementary with our current existing set of solutions. From my prospective what we are doing is significantly increasing and extending the markets in which we can actually sell and realize value from our IPR.
Fran Murphy: Thank you, George. Operator do we have anyone else queued up for questions at this point.
Operator: There are no further questions at this time.
Fran Murphy: Well, thank you Shannon. That does conclude this evenings financial results conference call. We would like to thank you all again for joining us. We appreciate your interest in Sonus Networks. Shannon would you please provide our callers with the replay instructions again.